Operator: Good afternoon, everyone and thank you for participating in today’s conference call to discuss NV5’s Financial Results for the Third Quarter of 2020. Joining us today are Dickerson Wright, Chairman and CEO of NV5; Edward Codispoti, CFO of NV5; Alex Hockman, President and CEO of NV5; Mark Abatto, President and CEO, NV5 Geospatial Solutions; and Richard Tong, Executive Vice President and General Counsel of NV5. I would now like to turn the call over to Richard Tong.
Richard Tong: Thank you, operator. Welcome, everyone to NV5’s third quarter earnings call. Consistent with social distancing, speakers today are connected from different locations. So thank you for our patience, including any latency as maybe encountered when we answer questions. Before we proceed, I would like to remind everyone that today’s discussions contain forward-looking statements about the company’s future business and financial performance. These are based on management’s current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from those statements are included in today’s presentation slides in our reports on file with the SEC. During this call, GAAP and non-GAAP financial measures will be discussed. A reconciliation between the two is available in today’s earnings release and on the company’s website at www.nv5.com. Please note that unless otherwise stated, all references to third quarter 2020 comparisons are being made against the third quarter of 2019. In this presentation, NV5 has included certain non-GAAP financial measures as defined in Regulation G commutated under the Securities and Exchange Act of 1934 as amendment. The non-GAAP financial measurements included in this presentation are adjusted earnings per share, adjusted EBITDA and adjusted EBITDA margin. NV5 provides non-GAAP financial measures to supplement GAAP measures as they provide additional insight into NV5’s financial results. However, non-GAAP measures have limitations as analytical tools and should not be considered in isolation and are not in accordance or a substitute for GAAP. In addition, other companies may define non-GAAP measures differently, which limits the ability of investors to compare our non-GAAP measures of NV5 to those used by peer companies. A webcast replay of this call and its accompanying presentation are also available via the link provided in today’s news release and on the Investors section of the company’s website. We will begin the call with comments from Dickerson Wright, Chairman and CEO of NV5, before turning the call over to Edward Codispoti, Chief Financial Officer, for a review of the third quarter 2020 results. Alex Hockman, President and CEO of NV5 and Mark Abatto, President of NV5 Geospatial Solutions will then provide some insights into the operational opportunities and strategic initiatives before turning the call back to Dickerson Wright for closing comments. We will then open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Richard and thanks to everyone who is joining our call today. For those of you joining by webcast, let’s turn to Slide 5 in our presentation. Although there continues to be uncertainty in our personal and business lives associated with the COVID-19 virus, our employees have adapted to this new environment. We are applying technology and software to continue to work remotely to provide essential business services. We continue to be proactive in implementing measures to address business and safety issues for employees working remotely and those supporting field activities that have continued to operate in NV5 offices and laboratories or our client and project locations. And what has been the result of our proactive measures. We have maintained the quality of our work, delivered a great operating quarter and grew backlog by 9% in quarter three. Our financial position through quarter three 2020 also remains strong. We are continuing our activities with acquisitions and to that extent have two potential acquisitions and due diligence that will strengthen our technology and substantially subscription-based revenue platform. We intend to do both acquisitions out of cash flows and not utilize our credit facility. Our daily cash position continues to average over $60 million, and we intend to continue paying down our debt. Between July and October, we have paid $27.8 million in debt reduction. Our current cash and debt position is significant because the third quarter is usually our lowest cash position for the year due to increased revenue and higher labor utilization. We also continue to benefit from our proactive cross-selling program. Our cross-selling is programmed within inter offices, and our cross-selling activity resulted in $7.7 million in cross-sells for the third quarter. As we have stated previously, cross-selling is very important because we strive to keep the central business in house. We are also keeping significant opportunities for cross-selling between our geospatial, which QSI, platform and the core business. An example, one of our largest West Coast utility clients contracted the Geospatial Group to perform an aerial scanning of transmission assets. This work also included $410,000 of CAD work that typically is not performed by our Geospatial Services group. But this was performed by our core business and the utility service group. So we kept this work within NV5. We’re also seeing the benefit of our scalable business model. Please turn to Page 6. Adjusted EBITDA for the third quarter increased $29.9 million from $17.6 million in the third quarter of 2019 and adjusted earnings per share for the third quarter was $1.13 per share, exceeding the average consensus of $0.70 per share. The majority of NV5 services are considered essential, and we have been able to scale our business to operate efficiently in this type of economic cycle. Our infrastructure, utility services and international markets have seen growth. We continue to see softening in our hospitality market due to COVID-19 consideration. Our MEP or mechanical, electrical, plumbing and technology services have been impacted as commercial development experience growth. However, the residential sector is strong, which has been a positive or municipal budgets. Our transaction real estate portfolio business, which has been negatively affected by COVID has begun to see improvement in the third quarter, and we look for positive results for the remainder of 2020. We are pursuing a number of growth opportunities in the technology sector, including data center program management, Geospatial Service and subscription-based energy efficiency. We’ve also been very proactive in our acquisition pursuits. We continue to look for opportunities that strengthen our operating platforms. We also see opportunities in the municipal private provider market, including a recent award by major Northern California municipality for Building Department services. Our utility service business continues to provide needed support services to strengthen the aging utility distribution grid, and we have seen growth in our LNG business with a large project award. Through our proactive efforts to expand diversity and employee opportunities, we have also seen an increase in hiring as well as a significant drop in employee attrition. I will now hand the presentation over to our CFO, Ed Codispoti, to provide an overview of our Q3 results.
Edward Codispoti: Thank you, Dick, and good afternoon, everyone. If you would please turn to Slide 8, I would like to start off with a review of our P&L results. As you can see, we had strong results this quarter and our gross revenues increased 30% to $169.9 million. Once again, our business model has shown its resiliency in light of the pandemic. I will note that this quarter had an extra week compared to last year due to the way our fiscal calendar works. Our adjusted EBITDA also showed substantial growth as it increased 70% from last year to $29.9 million. And our adjusted EBITDA margin continues to show the benefits of our scale as it increased 18% of gross revenue for the quarter, a 410 basis point improvement over the prior year quarter. Our adjusted EPS was also very strong this quarter in light of the pandemic as we came in at $1.13 per share, a 40% increase over the same quarter last year. In addition to our robust P&L performance, our balance sheet and cash flows also demonstrated the strength of our business. If you would please turn to Slide 9, you’ll see that we ended the quarter with $64 million in cash and net receivables of $206.2 million. Our cash flows were particularly strong as we generated $21.7 million of cash flows from operations during the third quarter of 2020. This is an increase of more than 4x the cash flows from operations we generated during the same quarter last year. And so far, during the first 9 months of this year, we have generated $72.4 million in cash from operations. This fits well with our model as we are very much focused on reducing our debt over time. Accordingly, this quarter, we paid down $18.9 million under our credit facility. And last month, we reduced our credit facility by another $8.9 million bringing the cumulative credit facility reduction to $27.8 million from July 1st through today. As you can see, our P&L results were strong as were our cash flows and balance sheet position. With that, I will turn it over to Alex Hockman, our President, to discuss our operations in more detail. Alex?
Alex Hockman: Thank you, Ed, and good afternoon, everyone. Please turn to Slide 11 for a review of the core business’s third quarter highlights and the potential challenges and opportunities. In the third quarter, essential services continued to drive our growth. With 70% of our revenues coming from public sector and essential infrastructure, we are more sheltered from economic cycles than many other businesses. As a result, our infrastructure TIC, which stands for Testing, Inspection and Consulting, civil program management and utility services sectors continue to perform well and we have had minimal impacts from the COVID pandemic. While we have begun to see a rebound in the real estate transaction market and our international MEP and technology business, our domestic hospitality and commercial development business continues to see lower activities. To capture act this situation, we have proactively implemented reductions in operating costs to maintain margins and profitability. Our business in public infrastructure and municipal government continues to be strong. And we have been monitoring the funding sources for these projects. Northeast and North Carolina funding levels have been on the rise, and we have not seen any significant project cancellations. Our opportunity pipeline is strong, and we have secured wins with local municipalities and departments of transportation in the states of California, Florida, North Carolina, New Jersey, New Mexico and Utah in the third quarter. We do have some potential challenges that we are facing in the domestic commercial development and hospitality markets as these industries are still struggling with the downturns in the COVID pandemic. However, we have seen an uptick in our international business. Our real estate transaction services, is another area impacted by COVID, but we have started to see a rebound in the third quarter and proposal volume is increasing. We have a number of current and future opportunities that we expect to drive growth in the coming periods, including our Testing, Inspection and Consulting or TIC business, where volume has been increasing in forensics due to response to natural disasters. Our TIC and Geotechnical engineering businesses also continue to perform well. In the Utility Services business, our aging grid, along with fire hardening efforts in the West continue to drive or confirm the assessment services for electrical distribution. We have secured several large design and survey contracts in Q3. And the wildfires this year in California are expected to continue driving utility efforts to modernize the electrical grid for the years to come. In the Northeast, our infrastructure sector business has picked up with the exception of New York City, which has been slower to open up back to historic levels. We secured $26 million in Q3 infrastructure contracts in North Carolina, and the DOT continues to release additional funds for projects. Therefore, we are seeing positive trends in North Carolina, and our operations in the West continue their strong performance. Our municipal business continues to perform well and we secured large wins with cities and counties in California, New Mexico, Utah and New Jersey in the third quarter. Residential housing starts continue to accelerate, which provides funding for municipalities and counties through permit and inspection fees. It also presents an opportunity for our code compliance business, which delivers outsourced building department services for municipal governments and directly to private developers. Finally, expansion of our client relationships across the NV5 network with the combined capabilities of our core businesses and Geospatial Services is an initiative that we continue to drive. Please turn to Slide 12 as I review our successful cross selling efforts. Cross-selling is rooted with NV5’s corporate culture. Work performed in-house generates higher margins and our ability to provide a wide array of technical services differentiates from the competition. It allows us to become embedded with our clients’ organization, building figures to entry and opportunities to continually expand these relationships. For 2020, we had an ambitious goal of $26 million in cross-sales. At the end of Q3, we are 28% of our year-to-date target with almost $25 million in cross-sells completed. In a year-over-year comparison, we are 65% ahead of where we were in Q3 2019. The program continues to accelerate, and we are uncovering new growth opportunities with the integration of Quantum Official. Please turn to Page 13. We are moving into the fourth quarter with a healthy backlog of $572 million. This is an increase of 9% over second quarter of this year and 23% higher than Q3 2019. We had several large wins in the third quarter that contributed to the growth of the backlog, including a $28 million Geospatial technology contract to support the core of engineers and U.S. geological survey. This project includes EGIS application development and data management, asset collection for utilities and LiDAR and topobathymetric data collection and processing. In California, we secured a $20 million contract to deliver design and survey services to support fire hardening and reliability for a major utility. The North Carolina DOT awarded NV5 $26 million in new contracts to provide design, survey and TIC services for transportation assets across the state. And we secured a large cross-selling win with the New Jersey utility to provide metering and regulating station improvements and natural gas services. The New Jersey Utility win is an example of how our coordinated cross-selling efforts, provides unique value and a competitive advantage when approaching clients. At this point, I will turn the call over to Mark Abatto, President of NV5 Geospatial Solutions. Mark?
Mark Abatto: Thanks, Alex. On the Geospatial technology side, we posted our 16th straight quarter of year-over-year EBITDA growth during quarter three. Despite the data acquisition challenges caused by West Coast wildfires in late September, we again grew top line because of the scale and diversity of our portfolio. Notably, during Q3, we completed the data acquisition phase of the largest topobathymetric LiDAR program in U.S. history. In terms of bookings, Q3 was a strong quarter expected as reoccurring program awards were announced before the end of the federal fiscal year and several utility contract renewals occurred. But it was our continued success in expanding our client base and our ability to offer new solutions to the market that was so encouraging. New geospatial solutions and new client awards together represented 16% of Q3 bookings. Further, we continue to gain traction in Canada, which is the second largest consumer of LiDAR based geospatial solutions. And our performance on defense and intelligence programs has earned us a stable and growing share of work in that space. On the integration front, the pipeline of cross-selling opportunities and wins continues to grow. In addition, we are able to further differentiate our solutions by adding UAV low altitude remote sensing capabilities to existing ground-based and high-altitude modalities. In the data processing and enrichment phase, teams are beginning to collaborate using proprietary machine learning routines that are yielding quality and efficiency gains. Looking ahead, we continue to be excited about the long-term trajectory of the geospatial technology market. In a responsible way, we acknowledge and our planning for potential challenges that may come our way in relation to the pandemic and its secondary effects on the economy. It will be more important than ever to emphasize our qualification based differentiation and embedded relationships. A third dynamic which could impact the utilities market slightly more is the challenge of developing new clients and demonstrating new solutions in a virtual sales environment. In a market that’s under-penetrated as utilities, outsized growth is driven in part by demonstrating new ways of solving existing and emerging problems through geospatial technology. Our challenge is to flatten the adoption curve for new clients in nontraditional ways until things return to normal. Now as I said, we continue to be bullish on the macros that are driving future opportunities, and I will focus on five of them that I highlighted last quarter, the first being infrastructure. Regulatory compliance and risk management concerns, coupled with an aging infrastructure in the U.S., will continue to drive demand for survey that is used in the planning, design and construction phases of major infrastructure projects, as well as asset inspection, both of which rely on the quality and efficiency of remote sensing Geospatial Solutions. Likewise, we see strong demand for infrastructure-related services that facilitate the nationwide 5G rollout. In the environmental space, climate change adaptation, including coastal resilience, blood analysis, environmental habitat and wildfire mitigation, to name a few, rely heavily on spatial and condition-based risk analysis made possible by Geospatial analytics. Further, demand continues to grow across government agencies, scientific organizations and private industry for predictive Analytics and monitoring of precious natural resources like water and forestry. National Defense Solutions represent a growth opportunity as we build upon our existing position supporting military facilities and certain classified Geospatial programs. Our qualifications position us well to continue growing share of wallet with these capabilities and expand the value proposition to include GIS integration and application development. As a largely U.S.-based solutions provider, we see international markets as an attractive growth opportunity. Close to home, we have gained traction recently in the Canadian market, as I’ve mentioned earlier, and we anticipate entry points into Europe and the rest of the world to continue coming from a combination of NV5’s international network and potentially M&A. And speaking of NV5’s network, as previously stated, cross-selling results and the future pipeline look promising. We have a real opportunity to accelerate the expansion of our Geospatial client base through the core NV5 teams entrenched relationship. And with that, I’d like to turn it back over to Dickerson Wright. Dickerson?
Dickerson Wright: Thank you, Mark. Let’s go to Slide 16, and I would like to introduce and update our growth objectives, which include higher margins driven by scalability, organic growth and mergers and acquisition opportunities. It is our goal to reach $1 billion in combined revenues by the end of 2024. This completes our prepared remarks, and now we’d like to open the call for your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Chris Moore from CJS Securities. Your line is open.
Chris Moore: Hey, good afternoon guys. Great quarter.
Dickerson Wright: Hi, Chris.
Chris Moore: Yes, hi. Maybe we could just start where we finished on the Geospatial, those – the potential challenges. I was just wondering if maybe you could – the three buckets that you have there, could you kind of rank those in order of most potential importance and just trying to get a sense, which of these you might feel kind of near-term and which might be a while still before you have a true sense as whether that challenge is going to crop up?
Dickerson Wright: Yes. I think, Chris, the very key word for you to look is potential. We don’t really – this is this was really presented more like we would do on the risk factors that we would be submitting in our 10-K or 10-Qs, there isn’t – so link of importance I don’t see – I see the opportunities. The federal guard delays in the federal budget, that seems to be solved the state and municipal governments now tend to be having more money because of the increase in residential housing. And so therefore, the constant need – there’ll be a need. And then I think with the utilities, we continue to introduce Quantum spatial or Geospatial in cross-selling. We continue to introduce those utility clients to them. So the challenges are really more like potential. And I would – in ranking, what could drop off and where could something drop off? I really don’t – utilities, the governments seem to be very steady. The state municipalities seem to be better than we had anticipated. And we just really cannot foresee what could happen with the COVID and the increase in COVID that may affect any of the client base, but I don’t know if they are really challenges is more say are opportunities.
Chris Moore: Got it. That’s helpful. Just, obviously, generated some cost savings in 2020. Just trying to get a sense as to which of those would potentially carry into 2021? I know that utilization has been higher and travel has been less in the near-term. Just trying to get a feel if there’s much that’s likely going to be kind of post pandemic?
Dickerson Wright: Well, Chris, the key to the fee to our business is scalability. So there’s services and support services that we always will give to each of the operations. And those support services, our finance, human resources, risk management with our legal group, our marketing group and our IT, they tend to go down as revenue goes up because of in percentage-wise. So we really manage that. So I think you’re going to see – you’re starting to see the real benefits of what we are doing by the scalability. And that’s our – as we increase from $100 million to now close to $700 million, you – and as we do acquisitions and as we grow organically, we don’t tend to scale up the support service as much. So there will always be, we’re anticipating an increase in profitability through scalability. As far as reduction in costs, I think, we’re watching our travel very closely. We’re beginning to see that maybe some trips just weren’t necessary and maybe they could be handled by Zoom as much of the market is seeing and understanding that. So I’m not really anticipating, we’re receiving our budgets now from operations. And I’m not really anticipating any anticipating significant improvement but it should be more on the scalability factor in our support services.
Chris Moore: Gotcha. It’s helpful. I will jump back in line. I appreciate guys.
Operator: Your next question comes from the line of Rob Brown from Lake Street Capital. Your line is open.
Rob Brown: Good afternoon. Nice numbers in the quarter as well.
Dickerson Wright: Hi, Rob. Thank you.
Rob Brown: Just kind of turning to the real estate segment, you talked kind of positively about the uptick there. Just love to get some color on what’s driving that and what you are seeing and maybe how you see that playing out into next year?
Dickerson Wright: Well, I think what we’ve seen – I’ll – from what I’ve seen and maybe Alex or Mark may have a comment on this also. But we have seen a tremendous uptick in residential housing and purchasing of residential housing. And in the municipalities, depend very much on the building permit process for their fees. So as long as there’s a robust housing market, residential housing market, there’s more building permit fees and then there’s more fees to the municipality to manage their operation. Also including in that and maybe more down the road, is the increase in population, and therefore, the increase in sales tax, that the municipalities depends very much on for revenue. So the uptick that we’re seeing is coming from the increase in residential housing, and that has really been a positive impact in the municipalities that we did not foresee.
Rob Brown: Okay, okay, good. And then on your $1 billion revenue goal by the end ‘24, what’s the – what’s your thinking on organic growth rate that, that applies to get there? And I guess the implied acquired amount in that number?
Dickerson Wright: Yes. We are looking at – this comes from ground belt. So just a quick – a little bit of history on this, Rob, we challenge our people to do things and many years ago, we – a smaller group of managers, we said, where do you think you could be in 2016? And the management group came up with $300 million. So we said, well, if you feel that strongly about it, let’s tell the world, we’re going to do it. And that really came from – and it didn’t change too much, but that we were growing quite a bit by acquisitions, and 40% was organic growth and 60% was acquisitions. And the next later, of course, is our famous 620 that came from one of our annual meetings and our management came up with that. And they thought it was going to be 50-50 organic growth and through acquisitions. And what we are seeing right now though in the $1 billion by ‘24, we think 55% of that will just be come from a compounded annual growth organically, 55%, and about 45% will come through acquisitions.
Rob Brown: Okay. Thanks for the background there. I will turn it over.
Operator: Your next question comes from the line of Michael Feniger from Bank of America. Your line is open, sir.
Michael Feniger: Hi, everyone. Thanks for taking.
Dickerson Wright: Hi, Michael.
Michael Feniger: Hi, everyone. Hope everybody is safe and well. I am just curious, I mean, the backlog did pick up. I’m curious if you saw any type of delays, but with all the election uncertainty in October, November. And do you feel with where the backlog is, do you need to build – continue to build backlog to feel comfortable with the second half of 2021 into 2022 or does it feel like some of those delays you talked about last quarter has really kind of flesh itself out and we’re run a better trajectory right now?
Dickerson Wright: Well, things certainly seem to be better for us. We had originally budgeted a significant reduction in our revenue, but that hadn’t transpired. But one thing is a good – what we’ve always used as a rule of thumb or source of reference. We worry or we are concerned if our backlog drops too much below 65% of anticipated revenue. So I’m saying $572 million, and that would probably give us a solid backlog entering into the fourth quarter and to the new year. And we are very, very conservative in that backlog because we use it for budget for purposes. And we only recognize in backlog actual revenue that we’re going to build in a rolling 12-month period. As far as some delays, maybe actually let Alex maybe can comment on – I will comment on if there’s any large projects that we had seen pushed that because of various things. And of course, we’re all waiting for this relief package that an infrastructure bill. But Alex and then maybe Mark can comment from what he sees in the Geospatial area.
Alex Hockman: Yes. So it’s common in our – in the course of our business that we’re going to have some delays. And as you’ve listened over the course of many of our reports, there’s been delays that we’ve seen in North Carolina, now the North Carolina funding is coming back. There is an initial concern about Florida, but that’s also been in terms of those projects, they’re now funding all the projects. The only area that we’re currently seeing on the municipal side is New York City. They’re not returning to the level of business at the historically have. But in terms of our DOT contracts and our municipality contracts, we are not seeing any projects that are being pulled or significantly delayed.
Dickerson Wright: Okay. Mark, do you would you want to comment – go ahead, Mark.
Mark Abatto: Yes, absolutely. And I would just say on the Geospatial side, starting with backlog, backlog heading into the fourth quarter of this year is actually ahead of pace from where we were 12 months ago. So a very positive sign there. I think we’ve seen over the course of the year, maybe earlier some delays and to the extent there was discretion in the timing of when awards were granted. We saw that pushing a little bit earlier in the year than we have more recently. And it’s been fairly isolated. To the extent timing has played a factor, in our case, it really came down to, in some cases, logistics. And not having some of the administrative folks either at the state or local or even the federal level around to issue contract and sign contracts, but that’s beginning to resolve itself.
Michael Feniger: That’s great. Thanks team and just I was hoping maybe you could flesh out a little bit more on the two acquisitions you’re trying to close. You said it’s more technology, subscription oriented. Does it kind of overlap with QSI? Does it kind of require a higher multiple for that type of business? And just big picture, I mean, you guys are going to get your leverage down to 3x, which is great. I saw another public engineering firm actually raised money in the public market. They tap the equity market with where the stock was, to basically have extra funds to go out on the offensive in 2021, take advantage of potential deals that could arise in this uncertainty. I am just curious you guys have used that playbook before. You’re getting comfortable with your leverage going back to 3x, maybe you kind of talk about these two acquisitions what they’re about? And maybe when you kind of see that M&A landscape in 2021? Thanks everyone.
Dickerson Wright: Okay. Michael, I was counsel of – we can’t speak too much of acquisitions. Normally, we don’t even announce something until we’ve closed the deal but we are in due diligence on these two. And I can’t speak – I don’t want to say too much. We’ve signed nondisclosure agreements, and I cannot speak to their name. I can basically say that the 2 we’re looking for are: one is in subscription-based revenue internationally for our energy efficiency practice, and the other one really deals with data centers and work for some of the fangs that are doing a tremendous increase in data center needs and work. So those are the two that I am speaking of. And we have not seen an erosion in valuation, nor have we seen a tick up in valuation. And my hats off to anyone who wants to – acquisitions are never easy. If you don’t have integration, if you don’t have a culture and you don’t share some common themes that you could really add value, we’re just simply pass on the acquisition. So we don’t want to roll up things for financial reasons. So you asked we are specifically looking for things that will separate us from our competition and will enhance our profitability in certain platforms. So, technology seems to be one that works very well and is profitable. And so we’re not – we don’t do turnaround situations. And so we’re not looking for firms that may have gotten in financial trouble because of the downturn now. We’re looking at firm’s side and I’m going to say some of that in my concluding comments, the ability to adapt to the environment. So we have not seen a – the opportunities are calling us all the time. Many of those opportunities we’re just not interested in. And – but we have not seen a real elevation in the pricing, either in being lower or higher. And we are just being very selective to an acquisitions now that can really strengthen our – the verticals that we have.
Michael Feniger: Okay, thank you. And just I just want to squeeze one in. On the projects you guys are bidding on, and it seems like there is some healthy activity out there. Are you seeing more pressure, Dickerson, for those specific projects, more competition? Is anything on pricing or is it still consistent with what you guys are seeing a few quarters ago? Thank you. 
Dickerson Wright: Okay, thank you. Okay. Michael, well, you’re probably referring to the – we don’t bid, if you will, on projects. We on the larger projects, which tend to be publicly funded, we really don’t go after these projects unless we have a 70% assurance that we’re going to get it. And so our first questions we ask when a large RFQ comes to us and we say to our people, what is your relationship with how with these people? How do you know of this? And if you’re waiting for an RFQ to come out, you normally will not get it. So we try to look for relationships that we’ve had ongoing relationships and things where we can be of assistance. So in that regard, the ones that are really subject to the pricing, we normally don’t – it’s not normally the ones that we go after. And on those public projects, many of our engineers are doing the work and putting that together and putting things together. So we’re very selective because we want those people doing billable. So we’re careful on the projects on the very large projects we go after. And then on certain verticals, there are some projects that are more price sensitive. But the bigger ones that you were referring to, and I think you and I had a conversation before, we’re pretty selective on the bigger ones, and we pretty well want to know that we have a pretty good chance of winning the work.
Michael Feniger: Thank you.
Operator: Your next question comes from the line of Jeff Martin from ROTH Capital Partners. Your line is open.
Jeff Martin: Thanks. Good afternoon guys. I hope you are doing well.
Dickerson Wright: Hi, Jeff. Hope you are doing well, safe.
Jeff Martin: Thank you. Yes, doing well and thanks. Mark touched on this a little bit with respect to QSI, in terms of the selling environment and that you can only do so much virtually. I was just curious about the other parts of the business and how those efforts are progressing as we get further along here? I know that in the past, you talked about not that difficult to get new business off of a master services agreement, but going after new master service agreements or new clients is tougher in this environment. Just wondering if you are seeing any change there?
Dickerson Wright: Well, no, I think it is more difficult. I think nothing beats meeting a client face-to-face in person, and you can Zoom and virtual and do many different things. But eventually, you really have to have that relationship. And I think for me, that relationship is one-on-one. We are doing very, very well. And as long as the playing field is level. I mean if we were retracting from visiting and seeing clients and our competition or the whole world was out visiting clients, well, then we would be doing well. But everyone now seems to be under the same set of circumstances. We all are doing things the best we can virtually. However, I think eventually, when things do change, we have to be much more active in marketing. And I am constantly, and Alex and Mark will tell you that I always concerned about the sales efforts and what our people are doing and what our people are doing in a virtual world now that we are in. So to answer your question, Jeff, I think eventually, nothing ever beats being with the client face-to-face, working with the client, rolling your sleeves up, assisting that client. But for now, everyone is in the same – has the same restrictions, and that is – we have to do things virtually.
Jeff Martin: Alright, that’s helpful. Thanks. And then with respect to the backlog composition, is there much change in the composition of it today versus, say, six months ago, and are there specific areas where you are noticing common themes where certain parts of the business are really heating up?
Dickerson Wright: Well, our core business backlog is growing. And the Geospatial Group has begun to grow their backlog again. But maybe Alex or Mark could answer that question more directly on where they see – where we see increases in the backlog where it’s coming from.
Alex Hockman: Jeff, so one of the areas that we have seen an increase in backlog is in the utility market. Our utility services engineering serving is definitely seen an uptick, both with respect to the transmission as well as the fire hardening. As Dick mentioned previously, one of the things that’s happened with this whole virtual meeting and ability to sell is the fact that everybody is doing the same thing. So we are seeing an increase again in our MSA with various municipalities, virtually interviewing for projects is something that we have all become accustomed to. So it is pretty much across the board. We are seeing a slight change in terms of, for example, in South Florida. It’s not so much the high-rise work. It’s now becoming more industrial, commercial, mid rise. So we see changes within various geographic areas. But all in all, it’s pretty much spread over all of our verticals that we’re seeing an uptick in backlog.
Dickerson Wright: And Mark, maybe Mark a bottom, maybe you would like to comment from the Geospatial, if you – where you see a change in the sales or the – working in the virtual environment.
Mark Abatto: Well, sure. And again, from a backlog composition standpoint, there is some cyclicality quarter-to-quarter just based on the timing of when contracts tend to renew in our space. And where we are at the end of Q3 is very representative of our typical book of business. We have got about a 25%, 75% split in our backlog between the private and the public or quasi public sector, so very, again, representative. I think that Dickerson said it well, that there is a level playing field in terms of our ability to reach existing and new clients and our ability to sell our existing solutions and even some new solutions. I think we are adapting. I am very, very encouraged by the fact that year-to-date, over $23 million worth of our bookings came from sales to new clients or to existing clients, but with new solutions. So I do find that over time, we have been able to adapt to the virtual world. And as things start to get back to normal, I see that pace accelerating.
Jeff Martin: Great. That’s very helpful. And last question, understanding you are not providing guidance at this time. I was just curious, one, if you could talk qualitatively about direction into next year in terms of scale in the business, maybe on a combined acquisition on an organic growth basis? And two, do you plan to reinstate guidance at some point in the future? Thank you.
Dickerson Wright: Well, let’s – the last question first. In the future, we probably will begin guidance. It’s just – it’s – there’s so much – so many unknowns right now, Jeff. I mean now we are supposed to the pandemic is going to be increasing. And so we just don’t know the effect that that’s going to have on our hospitality sector of the business our gaming sectors that we work and the travel sector. So it’s very difficult for us to give guidance in that. However, having said that, we are receiving our budget. Alex and Mark have been working very hard in the budgets, along with that, and I am encouraged. I think we are going to have a good year. I think we are going to be solid, but I just reluctant give guidance when there is so much unknowns out there right now with who knows where this pandemic is going? Who knows when there is going to be the vaccine? There are so many things that we just don’t have control of that it’s very difficult for us to say what’s going to happen. Other than I can tell you this, backlog is strong. Business seems to be good. And so we are cautiously optimistic for next year but I would certainly like to get this pandemic in this situation, unusual situation behind us before we start giving guidance again.
Jeff Martin: Understood. Thanks for your time and compliments on a nice quarter.
Dickerson Wright: Thank you, Jeff.
Operator: Your next question comes from the line of Lisa Springer from Singular Research. Your line is open.
Lisa Springer: Congratulations on a really nice quarter.
Dickerson Wright: Thank you.
Lisa Springer: My question I wanted to ask about the scope of the opportunity associated with 5G rollout for the Geospatial business. Has that been affected by COVID? Has this slowed the 5G rollouts and over what time frame do you expect to do the lion share of the business in the 5G rollout area?
Dickerson Wright: Mark, maybe we should – Lisa mentioned geospatial, so maybe you would know what you are seeing and then maybe Alex can maybe want to comment also on that.
Mark Abatto: Sure. I will make a brief comment. Telco and specifically, our participation in the 5G rollout, we really view that as an adjacent space for us, a growth opportunity. We are not very penetrated there today. Although the research that we have done to date seems to suggest that the rollout has not been significantly impacted. But we are not industry experts. Nevertheless, we still see that as a long-term play for the company, one where we anticipate making a pretty heavy deposit on in 2021.
Dickerson Wright: And I don’t think we are seeing any great impact in the core business either.
Lisa Springer: Okay, thank you.
Operator: Your next question comes from the line of Marc Riddick from Sidoti. Your line is open.
Marc Riddick: Good evening everyone. Very encouraging quarter.
Dickerson Wright: Okay, go ahead, Marc. I am sorry.
Marc Riddick: I appreciate that. Thank you. So, good for corporate branding there. One of the things I did want to touch on since you have covered so much in the call, and I greatly appreciate all the detail and color that’s already been given. I was wondering if you could specifically focus on the cross-selling targets and the successes that you’ve seen so far? And then maybe how we should think about it going forward, certainly, well ahead of the targets for year-to-date, you’re nearly already reached your full year target with the full quarter to go. I was wondering, is it – how should we think about that maybe going forward? Is it reasonable to think that, that $0.5 million per week target could – would be reasonable to project into next year, given the benefits that you’re already seeing in some of the successes, particularly on the Quantum side, some of the – what that composition might look like relative to maybe when that original goal was set?
Dickerson Wright: Okay. Well, good questions. And so Marc, let’s approach this way the recording of the actual revenue for our cross selling. So when you see the target of $26 million for the year, it’s really for the total amount of that contract. So the only piece that you would see in the budget would be a piece of that, which is in the rolling 12-month period of time. So we don’t – we want them to record all of the backlog potential, and that’s what you see in the 500 a week target or the $26 million target. As far as how we measure that progress, many people have heard me say this before, but when we first went public, about – almost 1/3 of our business was the sub consultants. And now it’s probably not going to get too much below 20% nations are – not restricted. And so therefore, we have more of a higher markup. But the reason it won’t get below – too much below 20% is there is a minority requirement, whether it be MBE, WBE, that many of these public contracts require the use of these – other minority firms. And they also limit the amount that you can mark up that amount. So we are not going to see too much below the 20%. But it will normally increase the cross-selling will increase as our total revenue increases because we are really encouraging as much of this work as we possibly can do in-house. And I know that we have recently set targets and goals for next year for our Geospatial Group, which will add to that. So as the company grows, you are going to see the cross-selling target grow. But as a percentage of the total revenue of the company, it will not – it will not be – we will still probably be at least 20% of our revenue going to sub-consultants. So we are not going to get too much better than we are right now. But we are very – it’s been very, very positive for us. And where you see the benefits, Marc, is our profitability has increased and Scott Gabando, who leads the cross-selling program has a nice slide that actually shows the profitability of work that’s kept in-house as opposed to work that’s been given the sub-consultants. So you are constantly seeing our profitability improve, and a piece of that, of course, is through the cross-selling effort.
Marc Riddick: It’s very encouraging. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Tate Sullivan from Maxim Group. Your line is open.
Tate Sullivan: Hi, thank you all. Thanks for all the detail. And Dickerson, if I just following up, what do you currently do subscription-based energy efficiency projects or is that more of a call out for opportunities going forward? And what is that business?
Dickerson Wright: Yes, we do it. It is – we actually have sensors and we have equipment that is installed that we have through software and through other things that are with for one of our biggest clients is in Macau, and that’s MGM, where we manage every one of their mechanical and electrical components, and we see it on a screen in our office in Hong Kong. So it’s and it’s the same amount every single month. So what we say subscription base revenue, it’s not revenue that’s – it’s reoccurring revenue. It’s the same amount every month. And so that’s – we call – we look at revenue, and that’s all subscription-based. And it’s mostly right now in our energy efficiency area, which we are expanding. But it’s a constant revenue and we like it because it’s always reoccurring.
Tate Sullivan: Thank you. And I think you mentioned growth in LNG with a large – was that a large project this quarter or was that going back to CHI Engineering restarting a previous project? Can you give more context on that LNG comment?
Dickerson Wright: Yes. I don’t – we haven’t had clearance from the client and name the project yet, but it was – the award was for this quarter in Q3.
Tate Sullivan: Okay great. Thank you.
Dickerson Wright: Thank you.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call over to Mr. Wright for closing remarks.
Dickerson Wright: Well, thank you everyone and thank you for the time and your interest in NV5. And we are very proud of the work that our – we have done as a company and our people. And I think one of the key things in life and it applies to our business. It applies to our circumstance. We never know what’s going to come about. We don’t – no one could anticipate that we’re going to have this pandemic. But the key thing is were you able or are we all able to adapt, adapt to the circumstances. So I want to thank our clients, I want to thank our people for the service and how they have adapted to this environment. It’s – we are doing things virtually. Our engineers are mainly working from their homes. And everyone has had to make it adapt in their personal life, whether they have children or whether they people at home to – they’ve all had to adapt and bring this work. So what can we do as a company to help them in adapting? We – with this COVID, we have spent over $104,000 to date on personal protective equipment for our people, for our offices and any of them that you’ll see, although our offices are not occupied a very sparingly, you will see signs, and we have everything that we’re trying to do to keep our people safe. And I want to once again thank Ralph Silver for the work he’s done in that regard. So the very first thing is adapting to safety. Adapting to the business environment, we have constantly looked for opportunities in this environment for our people to relate to clients, to contact clients and to work in an environment that we are all not used to. So what has been the result of that? You can see in the recorder we are reporting. Our profit on EBITDA as a percentage of total revenue has gone up as a percentage of any type of revenue that we recognize that does not include the sub-consultants has always has gone up and we see the trends improving. We see now much of our business. We are starting to learn how to operate in this environment. And we think that we can only adapt to the situation that we are seeing. The macro trends in the market, we see that there is now becoming more recognition to value stocks. And truly, we are a growth and value company. We have seen that. We have been able to grow and we have been able to improve the profitability. So we think it’s a very good opportunity for our investors and for all of our people that share in the company. So I want to thank everyone, once again, I want to thank our people, I want to thank our clients, and I want to thank everyone for the help that we’ve had, especially our employees and delivering in our clients and delivering a solid quarter under these circumstances. So thank you once again, and we look forward to speaking to you during the course of the rest of the year and in quarter four. Well, thank you for your attention.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.